Executives: Young-woo Kim - IRO Gwang-Seok Shin - CFO
Young-woo Kim: Good afternoon, I am Youngwoo Kim, KT's IRO. We will now begin Q3 2015 earnings presentation. Our call is being webcasted via the Company's Web site, so please refer to the presentation slides as we present this quarter's business results. Please note that since the first quarter of 2011, KT has been presenting consolidated numbers under the IFRS accounting standards. From this quarter, in line with the revised disclosure guidelines of MSIP on subscriber numbers, while the subscriber calculation was based on number of total line basis, which is inclusive of KT and MVNO subscribers and other lines, which are surveillance equipment, ex the lines for the hybrid product. Also ARPU calculation now excludes other lines that were unbilled and subscribers for the hybrid product such change was retroactively applied to Q1 2014 data. Now I will invite our CFO, Gwang-Seok Shin for his opening remarks and presentations on Q3 2015 earnings results.
Gwang-Seok Shin: Good afternoon, I am Gwang-Seok Shin, KT's CFO. KT was able to maintain steady bottom-line driven by enhanced competitiveness of our core businesses and our efforts to achieve structural cost efficiency. Our wireless business has seen sustained LTE subscriber growth, underpinned by customer centric management and stronger channel competitiveness. Fixed line business saw GiGA Internet subscribers surpass 700,000-mark with IPTV subs acquisition of 6.4 million. As such, we are an unquestioned number one player in Internet and IPTV. Through its world class ICT technology and GiGA infrastructure that integrates fixed and wireless network, KT is able to provide the fastest and most innovative telecom and converged services. Leveraging ICT based technologies; KT is seeking to bring about conversion across various industries like advanced command and control, cloud and big data; by building intelligent GiGA infrastructure, whose value goes beyond the boundary of current level of speed, capacity and connectedness. Based on such technologies, we are focusing on five future industries of smart energy, healthcare, next generation media, integrated security and intelligent transportation control. To facilitate market expansion of the converged business, KT is intent on developing not just a B2C model but also a B2B and B2G business models. Considering that the core of our future business is underpinned by the value of the platform dictated by the size of the subscriber base, we expected KT's future conversions business will start to become prominent starting 2016 based on different conversions business models being sought after at this moment. Especially, in the energy sector, KT is the first in the world to have developed KT micro-energy grid, which is an integrated and efficient energy management system. At the energy control center at Mapo they predict energy demand for 280 sites around the world including hospitals, hotels and industrial facilities using big data. And the system allows for energy optimization through the conversions of production, consumption, and trading of energy resources. KT also developed world's first portable security platform called Wiz Stick that personalizes KT's network security capabilities as one of its key initiative of its five future growth businesses in the integrated security segment. Wiz Stick manages vulnerabilities at the network access level and not at the PC level thereby blocking, pharming and other deceptive fraud attacks at its root. And by providing fingerprint identification and strong modes of authentication, we expect it will play an important role in leading the security market for financial and ecommerce transactions as well as for data protection. KT is a telco that represents 130 years of Korea's telecommunications history. To live up to this legacy, we will further reinforce growth potential and profitability of the telco business and focus on bringing tangible outcome in the future convergence business so as to lead the wave in the fourth industrial revolution and new ICT paradigm. Now, let me present on Q3 2015 financial results. Q3 2015 operating revenue was down 2.9% year over year to KRW5,492.2 billion and declines in fixed line and merchandize revenue. Operating profit was up 17.8% YoY to KRW343.3 billion driven by stronger core competitiveness leading to activated sales from core businesses and Company-wide cost innovations. Net income came in at KRW126 billion with EBITDA recording KRW1,174.3 billion. Next is statement on the financial position. Q3 debt to equity ratio was 154.4% up 0.8 percentage points QoQ. Net debt ratio was 46.7% down 8.8 percentage points Q-over-Q. Next is on capital expenditure. Q3 2015 cumulative CapEx was KRW1,344.5 billion and by the end of the year we plan to implement what remains of the KRW2.7 trillion CapEx guidance. I will now move on to each line of business. Wireless revenue came in at KRW1,844.1 billion down 3.6% year-over-year. This was due to lower interconnect revenue as a result of lowering of interconnection fees, and with the removal of the signup fee there was a decline in signup revenue. But wireless service revenue on LT subs growth continued an upper trend posting 2.4% year-over-year growth. LT subscribers expanded to account for 69.3% of total subs with Q3 ARPU recording KRW36,193 up 0.4% QoQ. Next is on fixed line business. Fixed line revenue on PSTN revenue decline was down 6.4% year-over-year to KRW1,284.4 billion. PSTN revenue declined 11% year-over-year driven by declines in both subscribers and traffic volume. Despite growth in subscribers, broadband Internet revenue fell 1.2% year-over-year due to offering of more benefits to consumers. Our subscribers for GiGA Internet and GiGA Wi-Fi Home, continues to rise and we believe it will help improve fixed line revenues going forward. Next is media and contents. Media and contents revenue was up 8.2% year-over-year to KRW428.8 billon. IPTV recorded more than 180,000 net additions in Q3 and as of Q3 end, there are 6.4 million subscribers. Other VAS, value added service, revenue from media business including PPVs and ads are showing an uptrend as well. By making use of variety of content platforms within the Group such as IPTV, satellite and mobile and utilizing our content distribution capabilities in music, mobile ads and commerce, KT will strive to maintain its leadership in the media and contents industry. Next is on financial and other revenues. Financial revenue was up 2% year-over-year on higher domestic card usage volume recording KRW835.5 billion. Other services revenue was up 28.4% recording KRW503.1 billion on higher IT/solution revenue driven by bullish global ICT business. Next is operating expenses. Q3 operating expense came in at KRW5,148.9 billion declining 4% year-over-year. With the inclusion of KTCS, KTIS and other new subsidiaries, labor cost rose 30% year-over-year recording KRW844.3 billion. But thanks to corporate-wide cost cutting efforts through improving systems and enhancing efficiencies of work processes, business expense fell 3.1% year-over-year to KRW2,438.1 billion. KT will continue to find ways to structurally enhance cost efficiency thereby leading to bottom line improvements. This brings me to the end of Q3 2015 earnings presentation. Thank you.
Q - :